Operator: Good day, everyone, and welcome to today's Colgate-Palmolive Company Fourth Quarter and Full-Year 2014 Earnings Conference Call. This call is being recorded and is being simulcast live at www.colgatepalmolive.com. Today's conference call will include forward-looking statements. These statements are made on the basis of our views and assumptions as of this time and are not guarantees of future performance. Actual events or results may differ materially from these statements. So for information about certain factors that could cause such differences, investors should consult our most recent Annual Report on Form 10-K filed with the Securities and Exchange Commission and available on our website, including the information set forth under the captions Risk Factors and Cautionary Statement on forward-looking statements. This conference call will also include a discussion of non-GAAP financial measures, which differ from our results prepared in accordance with GAAP. We will discuss organic sales growth, which is net sales growth, excluding foreign exchange, acquisitions and divestitures. We will also discuss gross profit, gross profit margin, SG&A, SG&A as a percent of net sales, operating profit, operating profit margin, net income and earnings per share on a diluted basis, excluding the impact of the items described in the press release. A full reconciliation with the corresponding GAAP measures is included in the press release and is posted in the For Investors section of our website at www.colgatepalmolive.com. Just a reminder, there may be a slight delay before the question-and-answer session begins due to the Web simulcast. Now for opening remarks, I would like to turn the call over to the Senior Vice President of Investor Relations, Bina Thompson. Please go ahead, Bina.
Bina H. Thompson: Thanks, Kathy, and good morning everybody, and welcome to our fourth quarter earnings release conference call. With me this morning are Ian Cook, Chairman, President and CEO; Dennis Hickey, CFO; Victoria Dolan, Corporate Controller and Elaine Paik, Treasurer. We’re pleased to exit 2014 with organic sales up 6% as compared to the fourth quarter of 2013, which was the strongest quarter of last year. Our market shares were strong around the world as you will hear in a moment. As always, innovation has been critical to our success we’re excited about our pipeline looking forward to 2015 and beyond. In many markets, macroeconomic challenges persist and of course, foreign exchange has been and will continue to be a considerable headwind as translation alone is projected to impact EPS in 2015 over 10% at current foreign exchange rate. That makes us even more pleased to be able to deliver continued organic sales growth and positive results on the bottom line. While our gross margin was down in the quarter due to very significant transaction costs, we believe that we will see an improving trend as we move through 2015 with a more benign raw material cost environment and pricing taken to offset the impact of rising transaction costs related to foreign exchange. Our funding-the-growth program is as robust as ever in our Global Growth and Efficiency Program is on track. Generated in 2014, related to the Global Growth and Efficiency Program, we are over a $100 million after-tax and above the top end of our projected range. Overhead expenses are down in the quarter due to tight controls in all divisions and savings from our Global Growth and Efficiency Program. Our total commercial spending also increased into both existing and new products. We think we are well poised to meet the challenges we face as we enter 2015. We believe our strong balance sheet and solid cash generation should keep us in good stead. So turning to North America, we are very pleased with our progress here innovation is contributing to organic sales growth and we have more plan for this year. In the fourth quarter, in the U.S., our market share increased year-to-date in toothpaste and manual toothbrushes and was even with the prior year in mouthwash. Results are strong across our portfolio in toothpaste. Our Colgate Total toothpaste share remains over 10% supported by a graphic refresh, relaunch of Colgate total events whitening and the boost provided by our companion Colgate Total Lasting White mouthwash. The Colgate Optic White franchise is also doing well as the superpremium is driving instrumentality with its year-to-date toothpaste share up from 5.3% to 5.6%. And as you know, we also launched Colgate Enamel Health toothpaste and toothbrushes in the second half of 2014. It's off to a strong start and our overall toothpaste share is up 1.4% in the three months after its launch as compared to the three months prior. In the mouthwash category, our year-to-date share is up more than 4 points, while our two major competitors full-year shares declined with excellent result from Colgate Total Lasting White mouthwash. Our fabric conditioner business continues to perform well both for the full-year and the quarter, our market share is up over 4 points to a new record, close to 20% of the overall market and as you know, these products are primarily sold in Hispanic markets. Now, as you would expect, we have more innovation slated for 2015 with a full grid plan for the first quarter. In toothpaste, we are launching Colgate Optic White Expressway toothpaste. This innovation provides whiter teeth in just three days simply by brushing with best results after four weeks of brushing as directed is Colgate’s fastest whitening toothpaste and it’s enamel-safe for daily use. In the mouthwash category we’re launching Colgate Total gum health mouthwash it provides advanced gum protection for 45% stronger healthier gums versus the non-antibacterial mouthwash. Fights plaque between teeth and along the gum line and kills 99% of germs on contact with 12 hour protection against bacteria that caused gingivitis. In the toothbrush category, we are launching Colgate Sensitive toothbrush plus sensitivity relief pen. Using the same innovative pen application technology is so successful in the whitening segment. This pen utilizes our patented Pro Argin technology to deliver sensitivity relief 24/7 with continued use and goes right to the source of the pain. To rekindle momentum in the dish liquid category we’re launching premium priced Palmolive Multi-Surface, which is specially formulated to kill bacteria on dishes and hardened non-core kitchen surfaces. And on the value side we’re launching Ajax all-in-one dish liquid which has a new formula with 10% more cleaning ingredients than before. And to further our success in the fabric conditioner category we’re launching Suavitel fragrance pro with the proprietary scent system which provides five times longer lasting fragrance compared with using detergent alone. As well as Suavitel fast dryer sheets which helps close dry 30% faster than using detergent alone. Turning then to Europe South Pacific, we enjoyed another quarter of organic sales growth in this region with a slight acceleration in volumes in the third quarter. Our commercial hubbing activities part of our Global Growth and Efficiency Program are now complete and were implemented with very little disruption in fact in the quarter we're virtually all new hubs delivered positive organic sales growth. Innovation is critical in this part of the world and it continues to contribute to market share growth in a number of categories. Our market shares across Europe are up year-to- date in toothpaste, manual toothbrush, battery toothbrush, mouthwash, liquid hand soap and dish liquids. Of note all categories of our Sanex business has grown market share year-to-date, shower gel, liquid hand soap and underarm protection. Our launch of Colgate Maximum Cavity Protection plus sugar acid neutralizer is now complete across the region with excellent share results in a number of markets. One of our first launch market Denmark posted a 4.1 share in the most recent period and two larger more recent launch markets, the UK and France have already achieved 1.5% and 2% shares respectively in the most recent periods. Building on this success in 2015 we will continue full marketing support for the toothpaste along with a further rollout of a companion toothbrush and mouthwash. As I just mentioned, our Sanex business is performing well and recent exciting new product activity to support further growth. Launching in the first quarter is Sanex advance, Sanex's first body care regimen developed with a leading dermatologist. Available in three different formulations, the regimen will include a body lotion and hand cream, to complement the body wash and deodorant. This is Sanex's first entry into the hands and body lotion category. The Sanex Advance Dermo Repair bundle for dry skin with minor damage contains active restore complex and [allantoin] to restore pH balance and miniaturization. The Sanex Advance Atopiderm bundles for extra dry atopic skin contains skin identical lipids and emollients to help restore the skins protective barrier, sooth itchiness and control hypersensitivity, helping the skin to keep functioning normally. The Sanex Advanced Hydrate 24h bundle for very dried dehydrated skin uses Ceragly Activ technology in a shower gel and lotion which has a pseudo-ceramides and glycerin to maintain the skins’ protective barriers by locking in the moisture. And in addition, will be launching Sanex in Poland, a new geography which will provide incremental new business for us. Turning then to Latin America, business across this region is solid, organic sales growth accelerated from the prior two quarters in 2014 and while volume increased a modest 1% versus the year-ago period, this was on top of a very strong increase of 10% in the fourth quarter of 2013. Toothpaste shares are strong across the region, in Mexico our most recent share is 80.8% up 80 basis points in the year ago period. Colgate Maximum Cavity Protection has achieved a 2% share in the most recent period. In Brazil in December our toothpaste share reached 72.1% for the month, the highest share in the past 18-years. This is in spite of a lot of competitive activity. Our manual toothpaste business is performing well. In Mexico, we achieved a record share of 45% in the latest leading, while for the first time our major competitor dropped below 40% share. Soap was across all retail environment, self-service stores, pharmacies and the indirect trade. We reached a record year-to-date share in Brazil as well with good growth in the superpremium segment with a 32.4% share of the market the number one position. In bar soaps we’ve strengthened our leadership position across the region of half a point on a year-to-date basis to 29.7% with the most recent lead at 29.9%. Innovation in both the Palmolive and Protex equities has contributed this success. And in the Home Care category our year-to-date regional market shares have increased in fabric conditioners of 50 basis points to 51.6% and in liquid cleaners of 70 basis points to 36.3% and we have more exciting new products plan for 2015 across all our categories. In the first quarter, specifically where excited about a new subcategory in the Protex Body Cleansing category, feminine intimate wash. Protex is a brand that's recognized as an expert in skin protection and is positioned to transfer readily into the intimate soap subcategory. It will be launched with a fully integrated marketing campaign including our products website and endorsements from a well-known journalist. Primary placement in-store will be on the intimate shelf with secondary placement on the soap shop to attract attention from loyal Protex users. Turning then to Asia, we’re pleased with the acceleration of organic sales growth in this region as we indicated would happen last quarter. And as referenced in the press release we saw good toothpaste market share gains in a number of countries. In India, our market shares increased to 54.4% up 30 basis points on a year-to-date basis. Colgate Active Salt toothpaste developed especially for this market where salt promotes antibacterial efficacy increased 70 basis points to over a 5% share. In Malaysia, our year-to-date share is up 30 basis points to just over 73%. Anticavity segment now comprises almost 27% of the market and Colgate Maximum Cavity Protection toothpaste launched last February has a 3.2% share year-to-date with the most recent lead of 4%. In manual toothbrushes, our regional share increased 20 basis points year-to-date to 30.2% with eight out of 10 countries reporting stable positive growth. In India, our share reached a record 43.2% up 120 basis points on a year-to-date basis. Innovation under the Colgate Slim Soft equity has been particularly successful. And our regional mouthwash share increased 120 basis points year-to-date to 23.1% with the most recent period at 24.6%. Looking forward in toothpaste, we will be relaunching both our base sensitivity line as well as the Colgate Sensitive Pro-Relief line. In addition, we will be adding Colgate Sensitive Pro-Relief Repair and Prevent. This new product has a unique calcium and amino acid complex which repairs the root cause of sensitivity preventing the pain from returning. In India, we will be launching Colgate Active Salt with neem. The neem tree in India is known for its antibacterial properties. In certain markets we will also introduce a line of Kids toothpaste for children aged two to five, a segment currently somewhat underdeveloped which presents a great incremental opportunity. New in the mouthwash category will be Colgate Plax Bamboo Charcoal and as you know Charcoal is also why reviewed as an ingredient to fight bacteria. Turning then to Africa/Eurasia, this region continues to deliver strong organic sales growth despite some macroeconomic challenges in the countries such as Russia. Our regional toothpaste share is up 10 basis points to 32.4% year-to-date. And despite difficulties in Russia and the Ukraine our year-to-date share is up 10 basis points to 32.9% in Russia and up 170 basis points in the Ukraine to 28.2%. We have also seen good share increases across Sub-Saharan Africa and North Africa. In manual toothbrushes, Colgate 360 and Colgate Slim Soft have helped increase our share in Turkey, up 30 basis points year-to-date to 28.7%. In South Africa, we are up 380 basis points year-to-date to over 38% of the market. And across the region our mouthwash share is up 30 basis points year-to-date approaching 20%. Colgate is the number two mouthwash brand in Africa/Eurasia. You may recall, we told you about a new product in Russia Colgate Altai Herbs mouthwash. That has contributed to 210 basis point increase in our Russian mouthwash share to 27.5% year-to-date. We also have a good market leading shower gel business in this region. Our year-to-date share is up 120 basis points to almost 22%. Russia, Turkey and South Africa have all reached record shares. We told you on previous calls about our Palmolive Gourmet Spa line with enticing coffee, chocolate, vanilla and peach fragrances. That innovation has been one of the drivers of the excellent share performance. And innovation this quarter continues. To support our relaunch of our Colgate Total toothpaste portfolio, we have initiated a new integrated marketing campaign around the idea of the incredible mouth. The idea is that Colgate knows that your mouth is incredibly weak, which is why Colgate developed Colgate Total to protect 100% of your mouth not only your teeth. To continue the momentum in our shower gel business, we are launching Palmolive Tiger freshness for men. You may recall we’ve had great success with Colgate Altai Herbs products toothpaste, mouthwash and body cleansing. Outside is a region in Russia known for its herbs which are believed to have curative properties. Similarly Tiger is the northern forest characterized by pine bruises and larches covering much of Northern Eurasia. This new product offers a freshness and cleanliness of the legendary [tiger] in your shower. Finally, we are pleased with Hill's continued good organic sales growth of 4% in the quarter particularly when compared to a strong 7% growth in the year ago quarter. Innovation has driven good results across our Science Diet, Prescription Diet and Ideal Balance portfolios. For the Science Diet portfolio, nutritional consultant shopper engagement at superstores and sampling of our new salt savory treat here in the U.S. has helps drive sales. In Europe, Hill Science Plan Perfect Weight has been supported with secondary displays in-store and in-store weighing area and on shelf dynamic cleans to explain the product benefits. Here in the U.S. Hill’s Ideal Balance has gained share in both the wellness and natural segments and consumption of the product in superstores was up strongly versus the year ago period. In Europe, the product contained excellent trade acceptance in the UK and Germany two large pet food markets and receive support with promotional activities and secondary placement. And our prescription diet metabolic line continues to meet with success. To build on that, this quarter we're launching prescription diet metabolic plus. 32 million pets have obesity related concurrent conditions. This is the first and only dual efficacy therapeutic pet nutrition food. It will be available for weight loss plus mobility for dogs, and weight loss plus Urinary Stress for cats. The product will be available in both a dry and stew format. And we’re also very excited about the new global packaging redesign across the prescription range. With more consumer friendly packaging and new better tasting formulas, the bundle is designed to create a stronger emotional connection to strengthen our leadership and innovation credentials and improved taste reception that's rolling out across the US, Canada and some of the high-growth markets in the first quarter of 2015 and Europe in the second quarter. So in summary, we believe our solid results for the quarter are a good indication that we have effective strategy. And we believe that this consistent strategy has stood as well for many years. We know it well. Staying close to the customer and consumer, innovating everywhere becoming more effective and efficient and on going leadership development. We believe our objectives on the ground have the tools to make the right decisions balancing price and volume supporting innovation in-store and out increasing market share all this is winning on the ground. We in our competition are like are faced with choppy times, volatile swings in currency and macroeconomic challenges in many parts of the world. So we believe it’s a simple consistent focus well understood by every Colgate person that makes the difference. And now I'd like to turn it over to Q&A. Kathy.
Operator: Thank you. Today’s question-and-answer session will be conducted electronically for the telephone audiences. [Operator Instructions]. We’ll first go to Steve Powers from UBS.
Stephen Powers: Hi, Bina. Ian good morning.
Ian M. Cook: Good morning, Steve.
Stephen Powers: Maybe just a few little things to kick things off of we could first could you just start up by providing the gross margin bridge for Q4 and maybe talk a little bit about how those drivers are expected to trend into 2015, any changes in margin improvement or organic growth expectations for the year versus last quarters outlook would be great. And then maybe drilling in could you also provide a little update on volume and sales trends in China and Brazil specifically, it looks like things improvement is expected in China, but you were still battling through some inventory issues in Brazil. I’m just curious if that’s a fair read and just the expectations on how you expect momentum to trend from here. Thanks.
Ian M. Cook: We’ll see, I think as Bina said at the end of her prepared remarks, I guess we live in a world these days where focus is really important, but so is agility and I think you saw in the fourth quarter the agility and the balance I guess between volume and price as our 6% was composed of volume growth in all divisions in pricing increases largely in the developing world. So if we take that to the gross profit row forward and you go back to the prior year gross profit 59.1, we benefited from 1.4 points of pricing, as you can see a step-up from the prior three quarters between our funding the growth and restructuring, we had something like 280 basis points of benefit and then faced a headwind in terms of material prices of some 4.3 point of which two points for the quarter was transaction and then they were 20 basis points negative of some other minor changes which gets you to the 58.8% gross margin. Interestingly, although we are where we are if you were to go back to the October conversation we had and our expectation for the full quarter of gross margin to be even with prior year, if you just stripped out the exchange deterioration since our October call, in fact for this quarter our gross margin would have been at prior year level. What we manage to do by moving quickly on pricing was to offset the dollar impact of the foreign exchange but not yet the ratio impact. So that’s 2014, when you go forward into 2015, I guess you have got a few things in terms of our view on gross margin, our view on gross margin for 2015 is that we will expand it between 50 and 100 basis points on the year. Now that is going to progress through the year from the first to the fourth quarter. We get a benefit in 2015 of course, from the current oil prices which we expect to work through towards the end of the first half next year and of course commodity materials which our forecast would say more or less flat year-on-year and these are benefits we haven’t seen in prior year. We will continue and indeed already have take pricing particularly in those emerging markets where we have to meet the transaction impact of foreign exchange, because that’s what translate into the operating earnings. We will of course be focus on our funding the growth program which again should benefit in 2015 from a more benign cost environment and of course we have our restructuring program. So, as we begin 2015, we feel good with the expansion target of plus 50 to 100 basis points on gross margin stepping it way up through the year. Now when you come back to the topline of the company, I think the fourth quarter played out organically pretty much the way we expected it. We see the destocking in China behind us and that’s why we see that the 6% organic there and indeed organic growth in the country itself. In terms of Brazil we said that we would still be working through the destocking in the fourth quarter that would be completed in the fourth quarter and then we would move into 2015 and indeed that has been the case. But if you step back and kind of take a look at where is the consumer we continue to see for our categories that in North America category growth, and again I am talking our categories, is between 1% and 2% as we said on the last call it is edging widely up to the upper end of that 1% to 2% range. Europe continues to be more even between 0% and 1% and across the emerging markets we continue to feel comfortable with the mid single-digit local currency value growth rates for our categories. So that’s the environment we see in 2015 with China and Brazil now behind us.
Operator: And we will move on to our next question from Dara Mohsenian from Morgan Stanley.
Dara W. Mohsenian: Hey, good morning.
Ian M. Cook: Hi, Dara.
Dara W. Mohsenian: Ian, pricing accelerated pretty significantly sequentially in Q4 and was a big driver of the organic sales growth acceleration in both emerging markets and globally, so I just wanted to get an update on your view of the competitive environment here, and your ability to sustain that level of pricing going forward with a lower oil costs and flat commodities overall. Or even get more pricing with some of the incremental FX pressures you are seeing. And then also in Q4 on a related note, how much of the Latin America price increase was related to Venezuela and Argentina? Thanks.
Ian M. Cook: Yes, I think we have demonstrated fairly consistently and ability to deliver pricing to offset the transaction impact of foreign exchange. I think we demonstrated that in the fourth quarter and we expect to continue to price as we have already done in some parts of the world. So pricing will be a factor in growth and in our gross margin expansion plans for 2015 and we believe as we indeed already have, that we will be able to realize that, and I go back to the fourth quarter and say there was a fairly meaningful step up in pricing in those emerging markets and yet we still had a balance between volume growth and pricing growth. Now, when you turn to Latin America, the need for pricing again is driven by foreign exchange and if you look at Latin America, overall, we took pricing in the fourth quarter and you see pricing up literally across the geography, from Mexico through Central America, our Indian group, Venezuela, Brazil, and the Southern, so we took pricing across the board in Venezuela as we told you on the last call, we, along with our two principal multinational competitors and the large local player down there, on price controlled categories, got approval to increase pricing and so we, along with everyone else, increased pricing in Venezuela and that will roll forward into 2015. But again, you look at Asia, you look at Africa, Eurasia, we're taking pricing in all parts of the world that are affected by foreign exchange.
Operator: And next we’ll move to Chris Ferrara of Wells Fargo.
Christopher Ferrara: Good morning.
Ian M. Cook: Hi, Chris.
Christopher Ferrara: Ian, just a follow-up on that, look I can appreciate that you don’t want to breakout exactly what Venezuela pricing is but I think the question on lot of people’s mind is just look the Latam segment pricing and the resilience of volume even our tough comp was very impressive that was very impressive. But I think what we’re all trying to figure out is as it relates to the sustainability of it was Venezuela and Argentina a disproportionate driver of that right in other words can we feel comfortable with the assumption that you guys were able to hold volume very well across the segment broadly and the numbers aren’t necessarily skewed by Venezuela and Argentina.
Ian M. Cook: Clearly, we got more pricing in Venezuela, because we had no pricing for an extended period of years. So the answer there is clearly yes as it was for everybody else that we compete with in that country. I think the more pertinent question is our ability to maintain that pricing and continue to increase that pricing going forward and our view is that, yes, we can. And again, I come back to the fourth quarter, having taken pricing we did see volume growth in all of our divisions. Now of course, that step in Venezuelan pricing will ease off as we work our way through 2015, because Venezuela is much more episodic than many of the other markets. So the answer is yes. And again, back to the consumer behavior, we continue to see our categories hold in the emerging markets at mid-single digits. And remember, as you will see when we file our K for us 2014, Venezuela continues to represent about 3% of the company’s worldwide sales and only about 1% of the operating margin.
Operator: And next we’ll go to Olivia Tong with Bank of America Merrill Lynch.
Olivia Tong: Good morning, thanks. I wanted to ask you about consumer consumptions levels, do you think that the current gross rates that you are posting are inline with where consumer consumption is right now. And on top of that how do you think about your inventory levels at retail. And then I also want to touch a little bit on the elasticity of demand in your categories because in the past you said that consumers understand pricing due to FX but at what point does that equation start to potentially breakdown because this quarter you obviously saw a big acceleration in price and volume really didn’t accelerate all that much, but can you help us understand the analytics, just make sure you don’t potentially go over board on pricing and what you consider too much, like if volume decelerates to the point where you are seeing negatives which you consider that to go too far and clearly I’m painting specially about Latin America. Thanks so much.
Ian M. Cook: Yes. Well clearly Olivia, as I’m sure all other companies do, we do considerable work to balance even the short-term volume impact at the pricing we take. I come back and say we sold volume growth in all of our emerging markets even with the stepped up pricing we took in the fourth quarter, so we think we have a handle on it and we think again, remember the types of products we are selling that we can take the pricing necessary to offset the foreign exchange impacts and continue to maintain that balance between volume and price and indeed volume slows a little bit when you take the pricing, but then that balance comes back. Look, on retail inventory you may remember, we were the first to talk about the destocking in China and I think we’ve tried to be very transparent about what we saw unfolding in the marketplace is the China destocking is behind us and I said on the last call that we expected brazil to work through in the fourth quarter and it has done. We track not only retail inventory, we track inventories with all of our distributors country-by-country and we have parameters that actually relate back to the return on invested capital the distributor gets in terms of the inventory levels that they would hold. So we have a very clear view on that inventory and we have a very sharp focus on making sure that it is not at least by our actions out of balance. What we saw in Brazil and China was a marketplace destocking because of the slowdown in the category. So I think you can feel confident that we have very much control on that inventory. And remember as we talked about when we went through those sub-prime years in difficult times, products in our categories if you will become the simple luxuries that consumers can afford. So the behavior of using these products does not go away when times get slightly tougher.
Operator: And next we have John A. Faucher from JPMorgan.
Ian M. Cook: Hey John.
John A. Faucher: Hey Ian, how are you?
Ian M. Cook: We’re good. Thanks.
John A. Faucher: Excellent, so just wanted to follow up and some of the guidance commentary in terms of I think you said that or Bina said rather that the 10% is the translation number. So can you talk a little bit about that the transaction pieces little bit different now given what we’ve seen in terms of the move in the euro and some of the other more developed market currencies, which obviously are negative? So can you talk about sort of how much of the transaction piece maybe you are not going to cover and can you get pricing in developed markets to cover some of this transactional pieces. Is that a possibility, even or that something where you basically say you know what we are going have to yet that impact given where the market is right now? Thanks.
Ian M. Cook: Yes, thanks John. Let me just complete what Bina said I mean so when you think about foreign exchange as a headwind, yes, the translation impact is 10% on the bottom line. On the topline we see it going to be about 7% and 7.5% on the year. So that just gives you the breath of that. In terms of the transaction impacts, that is embedded into our guidances on gross margin being up 50 to 100 basis points. The transaction impact whether it’s the balance sheet aspect of payable in the short-term or the more substantive foreign exchange impact on raw materials imported finished goods. In the medium term that hits the gross margin squarely and if you don’t recover that you can’t deliver an operating return, so all of our guidance is assuming our ability to offset that transaction impact. Now remember, offsetting that transaction impact is not just a function of list price increases in any given marketplace. It could be benefited from mix, it could be benefited from different types of promotional activity, but elevate the ASP we have the benefit of our funding the growth program we have the benefit of the global growth and restructuring program that we have underway. And as I said, at the beginning the benefit of a more benign commodity environment especially in the area. Now if you look at Europe and North America list price increases are difficult to accomplish, but you saw in Europe terrific margin expansion this year. So there its going to be some of the other techniques, but I think are going to continue to drive gross margin. Most especially funding the growth efforts, the Global Growth and Efficiency Program and what we can do with our promotional efficiencies as we go forward rather than list price increases, but that's the way we plan the year, John.
Operator: And next we have Joe Altobello with Raymond James.
Joseph Altobello: Thank you, good morning.
Ian M. Cook: Good morning, Joe.
Joseph Altobello: Just want to shift gears a bit to SG&A I want to put the 50 basis points of overhead savings in some context. It seems like it’s a bit of an out layer compared to the last few quarters. First of all what was the FX impact on SG&A in the quarter and how sustainable is the 50 basis points you saw on the fourth quarter and how should we think about advertising next year came down about 60 basis points in 2014 it was down both absolutely as a percentage of sales. So I am curious how are you thinking about that as you are shifting dollars and advertising to promotion in 2015? Thanks.
Ian M. Cook: Well, let me start with the advertising, Joe. So as we have said for quite a considerable time, the advertising is a combination of what we all grew up with which is the traditional media and promotion and we have always balanced that in terms of the traditional with the in-store activity that we undertake during the year. So if you look at the balance, in fact, in the quarter, our total commercial investment was up as it was for the year. Interestingly many of our competitors in many large markets around the world eased back on their traditional advertising spend. So in many of those markets actually our competitive pressure was actually strengthened. Now as we think about 2015 in terms of that traditional bucket of advertising and promotion, we are planning for that to increase absolutely and as a percentage to sale. And as we have always done we will continue to balance that as the year unfolds. So we feel very much that the advertising is where we needed to be. And I think candidly Joe, when you look at the results in the fourth quarter, we got a 6% organic growth rate and delivered a pretty robust bottom line. And of course is that kind of sustainable top and bottom line growth that we are focused on, relative to the overhead Forex is that much of an impact. We continue to expect to make progress in terms of overheads, because the global growth and efficiency program is largely focused in that area rather than gross margin this time around. And again, as Bina said, we were ahead of delivery of that program in 2014 and we will continue to make progress in 2015.
Operator: We will now move on to William Schmitz of Deutsche Bank.
William Schmitz: Hi, good morning, Ian.
Ian M. Cook: Hey, Bill.
William Schmitz: Hey, so I am just trying to figure out the organic top line guide I mean you gave market growth rates, is that going to be your growth as well. Because like if I wait sort of 45% developed, 55% emerging assume that, develop pieces 1% to 2% and the emerging is 5% to 6%. I kind of get you like 3% to 5% range, is that the right way to think about that or do you think you’re going to continue to gain market share in the growth asset in the markets.
Ian M. Cook: We’ve been quite pleased with our market share progress Joe and caller says Joe, Dale everyone is Joe and obviously we had some new businesses that we're entering whether it’s the intimate product, whether its new markets with Sanex and indeed some of the new geographies we have around the world like Nigeria, like Iran, like stepping up our position in Bangladesh, but we continue to be comfortable with that 4% to 7% range that we have talked about which we think adequately reflects the volatility that is in our world. You know if you take 2013 as a year a full-year, we came in about 6% if you look at 2014 now as a full-year we came in organic growth about 5%, so we think that 4% to 7% range remains reasonable and indeed that is what we are planning against. And I’m sorry about the name slip up.
Operator: And next we have Michael Steib of Credit Suisse.
Michael Steib: Good morning Ian.
Ian M. Cook: Good morning Joe.
Michael Steib: My question relates to the U.S. environment really, you said that you have category growth is edging towards the upper end of the 1% to 2% range, yet pricing in your categories continues to be down due to the promotional activities. Given the commodity cost tailwind, even if its marginal that you are going to experience next year, do you see that promotional environment remain at broadly similar levels going forward, or should it get - intensify from here?
Ian M. Cook: Well I think Michael that our assumptions is that it will continue pretty much as it has been, when you look at 2014 you might say that some of the – shall we say naked pricing pressure has come off, but we definitely saw in the North American environment couponing both in terms of the number of coupons dropped, and you know that’s a large part of U.S. promotional activity and works its way through the income statement and price that couponing volume and couponing values both stepped up substantially in 2014 and we expect that will continue in 2015. Now in part coupons create trial for new products, so that’s quite healthy, so you will see some bumps I guess quarter-by-quarter because of that. So we are assuming that competitive environment in our categories at least will continue as we’ve seen it per haps with more emphasis towards cuoponing.
Operator: And next we’ll move to Connie Maneaty of BMO Capital.
Constance Marie Maneaty.: Good morning. I was hoping that you would discuss some metrics that have improved in the areas where you have completed the move to your new hubbings?
Ian M. Cook: Okay, I think we – the new areas really will back up, I mean we have had hubbing operations in parts of our world for a long period of time and I think we talked about that relative to Latin America when I talked about the groups we had there in the activity we took that, the next big tranche if you will hubbing has been Europe and in that environment we have both accomplished and delivered the savings and the efficiency that we were looking for and now the market level activity begins and the next like of that journey. Now will be to get the accrued benefits of having hubs now with shared service centers and I guess frankly most importantly of all with that focus and the ability to sharpen our investments behind the businesses as you saw in release and in being is commentary market shares in our principal categories are up. And that in a slow growth European environment is ultimately what all depends I think our ability to continue to deliver organic growth in that part of the world, which when you think about why we prioritizes Europe first from the global growth and efficiency point of view was the objective of the exercise.
Operator: And next we have Bill Chapel with SunTrust.
William Chapel: Good morning, thank you.
Ian M. Cook: Hi, Bill, good morning.
William Chapel: In [indiscernible] walk through as we look at oil kind of dropping to where it did in the fourth quarter, how that works through your P&L over the next 12 months, I mean in terms of big diesel or just straight oil or resin, I mean and maybe percentages if you can – we see 50% of the benefit by the first half or do we really not see it until the second half. Just trying to get gauge of how it really influences the business and how long it takes to influence the business?
Ian M. Cook: Yes, well you know as you’ve heard for many there is a lead lag things in life have a way of going up quicker than they come down. If you take oil the most immediate benefit you get tends to be in freight because that price is quite quickly and so we got a little bit of benefit in the fourth quarter very modest and we expect that to benefit of starting in this quarter in 2015. When you talk about the flow through benefits of the resin impact and the other material impact that will start to benefit us towards the end of the first half partly related to it working through the system, partly related to our own inventory levels, you have to work those through before you get the benefit which is why we make the point that as we build to that 50 to 100 basis points gross margin improvement, it is going to build across the year, because the commodity benefits will really start flowing in the second quarter.
Operator: And next we’ll go to Phil Astrachan from Stifel.
Ian M. Cook: Hi, Mark.
Mark S. Astrachan: Hi, how are you doing everybody, good morning. I wanted to just ask follow-up to that last question, just where are you budgeting oil for 2015 and then just you’re shifting gears, could you talk a bit about your thoughts on share gains that you've seen from some of your euro-based competitors over the last three to five years. And your views on sending off some sort of incremental spend that they're going to have given current exchange rates as well as potentially reversing some of those share gains that you had or sort of just broadly have you think about a more able-bodied competitive landscape from some of those companies?
Ian M. Cook: Yes, we - in terms of the oil we actually budgeted oil at about $60, so obviously if it says that the current level we will pick up a little bit more, we’ll have to see how all of that works through across the year. In terms of European-based competitors, if you mean from a foreign exchange point of view, we're all managing in a world. And we all have different parts of the world and we all have growth ambitions in those different parts of the world. We have, we think being quite responsible with the benefit of Global Growth and Efficiency Program in Europe and making sure that our commercial investments, including traditional advertising and promotion, are appropriate for both the European category growth rates and the competitors we meet in Europe. If we see things change, and we think we need to be more responsive back to this notion of agility and balance. We will take the appropriate action. But right now we are quite comfortable with our European growth. And with our investments stands there relative to both the categories and our competitors.
Operator: And next we will go to Ali Dibadj with Bernstein.
Ian M. Cook: Hey, Ali.
Ali Dibadj: Hi, guys how are you? So just a couple of quick follow-ups and one is and I'm sorry you might have said this but I jumped off for a second if you could quantify actually Ian the Venezuela impact on your growth rate because even that’s you know 3% of sales that we said price mix as best as we can tell you put that together it might be 0.50, two points of your six point growth. So if you have [indiscernible] if you could say that again and I do want to go back to this ad spend begin down 8% below 10% for you which is something into 2009. And its point I don’t think it’s unique to you guys. Lot of the companies in the sector are kind of that your point balance the above the line versus the below line ad spend. And the list of the brand, so I am trying to get a sense from you because I [indiscernible] one quarter, right so. So the list of the brand as you go forward and how do you think about that gross to net versus pure ad spend and what the right balance is?
Ian M. Cook: Yes, well know even if you did drop off Ali, we didn’t provide that information on Venezuela and we won’t now, that the point I did make relative to Venezuela in the Latin America, is that we took pricing across Latin America in the fourth quarter, in the case of Venezuela, yes, it was episodic as we said in the third quarter it would be, because haven’t had pricing for several years that same episodic benefit also benefited our principal multi national competitors who got the same government approvals on key categories for them at exactly the same time we got out and indeed the local competitors was granted pricing as well. So everybody benefited from pricing in Venezuela. But the point to make is we took pricing across the board and then environment, where everybody was getting pricing our global growth rate was indeed 6%. In terms of the advertising yes you are right, one has to be conscious about the brand health as we call it. I will say that the kind of model that perhaps the many of us grew up with where what was accounted foreign trade spending was inherently bad and only the so called below the line spending was good. I think those days are gone, I think ones ability take Hispanic consumers in the U.S. that you can reach with in-store activity that may have a component of price, but might be much more driven by a coupon that has regionally dropped at high population areas. These kind of techniques are now available and they weren’t available before and you can measure them, you can execute them, retailers can handle different configurations to put them at work with a consumer, but coming back to the brands, we do, do tracking work and our tracking work around the world shows that if you take our Oral Care business around the world, the health is very, very good of those brands. So by all means we track it, sometimes from a short-term point of view if couponing or other activity steps up, you have no option at least in part to participate, but I think we’ve been one of the loudest voices at least I hope so in saying that we much prefer to compete in an environment of innovation with marketing support than price promotion, but we don’t see a weakness in brand health that is something of course we have and we will continue to track.
Operator: And next we’ll go to Lauren Lieberman of Barclays.
Lauren R. Lieberman: Thanks, good morning.
Ian M. Cook: Good morning Lauren.
Lauren R. Lieberman: Just two things. One was to follow-up on this conversation about in-store spend versus traditional advertising. Is it fair then to summarize kind of the environment you are seeing right now to say that in the regions where you have had more in-store spend, more promotion, its not necessarily because of negative flair ups in the competitive environment, it’s a little bit more choiceful on how to best reach the consumer for a given activity that you guys have slated or is there in fact a kind of step up in the negative promotional environment currently?
Ian M. Cook: I would say it is more the formal Lauren, and these are techniques that with our Colgate business planning and so on that we have learned to be efficient with, so its choiceful, but you know I also have to say take in environment like the United States, there is no question that that couponing environment has become more competitive and we have correspondingly become more competitive in that environment, but if I took an overall stance, I would say as we have been saying for a time that it is choiceful with techniques that we think not only reach the consumer, but actually strengthen the equity of our brands overtime.
Operator: And now we will move on to Javier Escalante from Consumer Edge Research.
Javier Escalante: Hi, good morning everyone.
Ian M. Cook: Good morning Javier.
Javier Escalante: My question has to do with detachment of a restructuring program. There was expanded to the saving target to up to $390 million, assumes to me that only a third of the savings has been accrued up to now. So I would like to understand how much of savings will accelerated in the next couple of years in order to hit the $390 million target and if you could help us understand what kind of activities are going to happen is this more hubbing like the one that you did in Europe or is it manufacturing facilities being up and up and in Asia help us understand physically what activities are going to take place that are going to help the savings to ramp up in the next - these two years? Okay thank you.
Ian M. Cook: Yes, well, the first thing to say Javier the program is very much on track indeed has Bina said our performance in 2014 was up. If you look at our so far savings against the total we are running about half accrued. So its not a third and if you look at the activity going forward yes it is in the same areas that we had very much spoken to in the beginning. So it is the hubbing, it is what we are doing with our facilities and it is the expanded use of the Colgate business service centers and we are very excited by it, because we think as we have now seen in Europe not only does it bring you the immediate term savings, but it makes you operate smarter and faster and in a more efficient manner. So we like it, not just as a Global Growth and Efficiency Program, but because we think it ultimately gets this organizationally to a better place from an operating point of view.
Operator: And next we’ll go to Caroline Levy of CLSA.
Ian M. Cook: Hi, Caroline.
Caroline S. Levy: Good morning Ian and Bina, thanks. I’ve got a question about Russia and another on Mexico. On Russia, I guess if you have to describe it as pretty chaotic and I'm just wondering how much of your pricing you were able to take in the fourth quarter and how much you think you still need to take and whether you think demand will drop off quite meaningfully. And secondly on Mexico, both Kimberly and Procter have had very difficult years trading in Mexico and they to some extent blamed the higher consumer tax. Are you seeing any slowdown in demand or did you see any slowdown, do you see any pick up what’s going on in Mexico for you guys?
Ian M. Cook: The Mexico hasn't changed for us. We certainly didn't see a 20% decline there nor did we see a 20% decline in China. So no that environment hasn’t really changed for us. Russia for us is still a relatively modest part of our business between 1% and 2%.. Chaotic may be overstating it that it is indeed difficult. And it is likely to become more difficult. We have lived this before at the end of the 80s. And indeed the senior executive that lived within is living it again now. And so that we know the actions to take from a structural cost point of view and we are taking those actions and of course we are taking pricing, and we are transferring funds and we are watching closely distributions and wholesalers. So, we are very much managing Russia from a containment point view. But we’re close to our businesses. So we believe we have a good handle. And interestingly shares were up. So maybe cold but there up.
Operator: And we will take our final question from Jason English of Goldman Sachs.
Jason English: All right, thank you guys for squeezing me in.
Ian M. Cook: Hi, Jason.
Jason English: Even got the name right.
Ian M. Cook: Yes.
Jason English: I’ve got a couple of follow-up questions.
Ian M. Cook: Good question, Joe.
Jason English: There we go, there we go. All right, now it seems right. One on the promotional dynamics on P&G conference call they referenced expectation of 400 basis points of margin gains constant currency or even currency loaded out of Brazil and India. Hard to see how they get that without pulling some of the money to put in the market back out so are seeing the promotional intensity ease in those markets. And then secondly gross margins I just want to walk through a little more on, more deeply on the answer to the question earlier, your signaling sort of neutral commodities maybe even a little bit of favorability with oil so does study hold line on price, continued productivity, you do the math on that even if you assume that transactional headwinds become more substantial than they were this quarter. Its still hard not to see a path at least 150 basis points of gross margin expansion. So what am I missing there?
Ian M. Cook: About 50 basis points. I think if you take India and the promotional intensity, actually India from doctor’s point of view was never particularly intense in our categories, now if you look at India, you know Bina I talked about the market share, we're approaching 55 and the competitor in question has about a 0.7 shares. So and our business there continues to be quite strong. In terms of Brazil, I would say yes the promotional intensity has dropped off a little bit in Brazil, which is a good thing. On gross margin Jason and I’m sorry with the glib response, but the gross margin is really one of phasing because as I tried to explain earlier we think that gross margin expansion is very much going to build across the year, because although we see the headline lowering of commodity costs and certainly oil the work through of that from our inventory point of view to its effect on resins, bottles, et cetera will take some time to be seen. And on the flip side the transaction impact, you know when ForEx goes to Guinea that hits you straight away whether it’s the stuff you have to pay and your payables whether it’s the dollar denominated raw materials that replace that what you are now having to pay for. So that’s immediate and the win back on the gross margin take a little bit more time. So I do think we’ll next year in a strengthened position gross margin wise, but it really is all to do with phasing. So I believe these were all the questions we have. End of Q&A
Operator: Yes sir.
Ian M. Cook: Okay, so well thanks very much for catching up with us today and a special thank you all the Colgate folks that make it happen. Bye-bye.
Operator: And with that ladies and gentlemen that does conclude today's call. We would like to thank you for your participation.